Operator: Good morning everyone. Welcome to the Boyd Group Services Inc. Second Quarter 2024 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties related to Boyd's future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Boyd's annual information form and other periodic filings and registration statements and you can access these documents at SEDAR+ database found at sedarplus.ca. I'd like to remind everyone that this conference call is being recorded today, Thursday, August 8, 2024. I would now like to introduce Mr. Tim O'Day, President and Chief Executive Officer of Boyd Group Services Inc. Please go ahead Mr. O'Day.
Tim O'Day: Thank you, operator and good morning everyone and thanks for joining us for today's call. On the call with me today is Jeff Murray, our Executive Vice President and Chief Financial Officer; and Brian Kaner, who I'm pleased to announce has been appointed President and Chief Operating Officer of Boyd Group Services Inc. In his expanded role, Brian will have operating responsibility for the entire company. Concurrent with this change, I will remain Chief Executive Officer, however, relinquished to title of President. This change is being made to position Brian with company-wide operating oversight, responsibility, and influence. We released our 2024 second quarter results before markets open today. You can access our news release as well as our complete financial statements and management discussion and analysis on our website at boydgroup.com. Our news release, financial statements, and MD&A have also been filed on SEDAR+ this morning. On today's call we'll discuss the financial results for the three and six-month periods ended June 30th, 2024 and provide a general business update. We'll then open the call for questions. During the second quarter of 2024, Boyd recorded sales of $779.2 million, adjusted EBITDA of $89.6 million, and net earnings of $10.8 million. As reported by industry sources, repairable claims continued to be down approximately 7% during the second quarter of 2024. By contrast, the company's same-store sales experienced a decline of only 3.2%, demonstrating Boyd's ability to gain market share even in a difficult environment. Under normal conditions, the decline in repairable appraisals due to ADAS and higher total loss rates will be more than offset by the increased miles driven and increased costs of repair. However, weather-related factors, changes in consumer behavior due to economic uncertainty, and higher insurance premiums resulted in the deferral and non-filing of claims, which further negatively impacted repairable appraisals in the second quarter. The internalization of scanning and calibration services, progress and Boyd's repair first strategy, and focus on the use of cost-effective alternative parts, delivered strong value by lowering repair costs for the company's customers, and consequently, reduced sales that could have otherwise been achieved, while benefiting gross margin percentage. This resulted in a significant sequential improvement in gross margins and adjusted EBITDA as a percentage of sales, moving from 44.8% and 10.4% in the first quarter to 45.6% and 11.5% in the second quarter respectively. For the second quarter of 2024, sales were $779.2 million, a 3.4% increase when compared to the same period of 2023. This reflects $50.9 million of incremental contribution from 109 new locations. As mentioned earlier our same-store sales, excluding foreign exchange, decreased by 3.2% in the quarter, although repairable claims continued to be down approximately 7%. The second quarter recognized the same number of selling and production days when compared to the same period of 2023. Gross margin was 45.6% in the second quarter of 2024 compared to 45.5% achieved in the same period of 2023. Gross margin percentage benefited from increased scanning and calibration, higher parts margins, improved glass margins, and improvements in performance-based pricing. Labor rate increases have added to sales and gross profit dollars. However, margins remain below historical levels. Operating expenses for the second quarter of 2024 were $265.9 million or 34.1% of sales compared to $247.3 million or 32.8% of sales in the same period as 2023. Operating expenses as a percentage of sales was negatively impacted by the decline in same-store sales and new locations, which contributed sales, but with a higher operating expense ratio. Adjusted EBITDA, or EBITDA adjusted for fair value adjustments to financial instruments and costs related to acquisitions and transactions, was $89.6 million, a 6.1% decrease over the same period in 2023. The decrease was a result of lower same-store sales partially offset by improvements in gross margin percentage. Net earnings for the second quarter of 2024 was $10.8 million compared to $26.3 million in the same period of 2023. Excluding fair value adjustments and acquisition and transaction costs, adjusted net earnings for the second quarter of 2024 was $11.9 million or $0.56 per share compared to $27 million or $1.26 per share in the same period of the prior year. Net earnings and adjusted net earnings for the period was negatively impacted by the decrease in adjusted EBITDA as well as the increased finance costs, and increased depreciation related to location growth. For the six months ended June 30, 2024 sales totaled $1.6 billion, an increase of $97.5 million or 6.6% when compared to the same period of the prior year driven by $109.2 million incremental contributions from 132 new locations, that had not been in operation for the full comparative period. Our same-store sales excluding foreign exchange, decreased by 0.7% for the six months ended June 30 recognizing the same number of selling and production days when compared to the same period of the prior year. As reported by industry sources, repairable appraisals were down declining 7% to 8% on a year-over-year basis. Gross margin decreased to 45.2% of sales compared to 45.6% of sales in the comparative period while gross profit increased to $708 million from $669.7 million, when compared to the same period of the prior year. Gross margin percentage decreased due to several factors including, variability due to performance-based pricing and lower contribution margins from a greater number of new locations. Labor rate increases have added to sales and gross profit dollars. However, margins remain below historical levels. These negative impacts were modestly offset by the benefit of increased internalization of scanning and calibration, and improved glass margins. Operating expenses increased $47.1 million compared to the same period of the prior year primarily as a result of location growth, and incremental expense investments. In addition new locations contributed to sales but with a higher operating expense ratio. Closed locations lowered operating expenses by $700,000. Adjusted EBITDA for the six months ended June 30 was $171.3 million compared to $180.1 million in the same period of the prior year. The $8.8 million decrease was primarily the result of declines in repairable claim volumes for services. We reported net earnings of $19.2 million compared to $47.1 million in the same period of the prior year. Adjusted net earnings per share decreased from $2.25 to $1. The decrease in adjusted net earnings per share is primarily attributable to the decrease in adjusted EBITDA, as well as increased finance costs and increased depreciation related to new location growth. At the end of the period, we had total debt net of cash of $1.2 billion. Debt net of cash increased when compared to the prior quarter primarily as a result of acquisition activity and increased capital expenditures including, new location startups. In addition, start-up locations have resulted in an increase in real estate assets. The company's strategy has been not to hold real estate except where necessary for growth opportunities. Certain start-up locations, necessitates short-term holding of real estate, until the build is complete and operations have begun. During 2024, the company plans to make cash capital expenditures excluding, those related to network technology upgrades and acquisition and development of new locations within the range of 1.8% to 2% of sales. Excluding these expenditures, the company spent approximately $31.9 million or 2% of sales on capital expenditures during the six months ended June 30, 2024. The company spent $28.7 million or 2% of sales on capital expenditures excluding those related to acquisition and development, during the same period of 2023. The company has a number of initiatives underway to ensure the business is well positioned for long-term success. Boyd has made progress in improving gross margins, and keeping costs down for the company's customers in the second quarter of 2024. The continued claims softness has impacted demand for services thus far, in the third quarter, which is resulting in similar same-store challenges that we experienced during the second quarter of 2024. While claim volumes and demand for services are currently below prior year levels, Boyd views these as short-term trends and remains highly confident in the underlying fundamentals of the business over the longer term. On a year-to-date basis, Boyd has added or acquired 30 new locations. While this activity is running at a slower pace than was the case one year ago, opportunities and Boyd's commitment to growth remain. The company has a robust pipeline of new location growth, including greenfield and brownfield development sites. While start up sites experience a longer development cycle and ramp-up period, when compared to single shop acquisitions, these facilities offer a number of advantages, and as a result the company plans to continue increasing the proportion of growth using this approach. Despite the recent same-store sales growth challenges, the company remains confident that Boyd is on track to achieve its long-term growth goals, including doubling the size of the business on a constant currency basis from 2021 to 2025 against 2019 sales. In the long term, management remains confident in its business model, and its ability to increase market share by expanding its presence in North America, through strategic acquisitions, alongside organic growth from Boyd's existing operations. Accretive growth will remain the company's long-term focus, whether it's through organic growth, new store development, or acquisitions. The North American collision repair industry remains highly fragmented and offers attractive opportunities for industry leaders to build value through focused consolidation and economies of scale. As a growth company, Boyd's objective continues to be to maintain a conservative dividend policy that will provide the financial flexibility, necessary to support growth initiatives, while gradually and increasing dividends over time. The company remains confident in its management team systems and experience. This along with a strong financial position and financing options positions Boyd for success well into the future. With that, I would now like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Thanks and good morning. This kind of theme of folks not bringing their cars for repair seems to have come up a lot about a couple of calls across the ecosystem in autos. From your perspective, and sort of the confidence that you have on 2025 is your expectation that as the macro improves, whether it's early mid kind of just through 2025 and onwards that the pattern of bringing cars in for repair when damaged and make an insurance claim. That sort of normalizes. So is that something that we should read as being just tied to the macro environment and pocketbooks being a little bit tight?
Tim O'Day: Yeah, absolutely. I think it's a combination of probably some concern over the economic environment. Insurance premiums having gone up significantly over the past couple of years and a reluctance on the part of some vehicle owners, to file a claim in part to appear that it may further increase their insurance rates. I would say that, over the years as we've seen periods of economic uncertainty. It's pretty common for people to defer a claim or to cash out a claim rather than repair it. But generally that behavior bounces back to the other direction over time.
Sabahat Khan: Okay. And then I guess just the impact of this sort of with your insurance partners? I guess, is it making -- does the volumes going down the cost for them may be going down? Is that making pricing discussions any easier? Or how are they reacting to this dynamic?
Tim O'Day: I don't think there's been a significant change in that dynamic. Certainly it would be easier for them to make pricing concessions when they're profitable. And if you look at those that have reported have had significant swings in profitability. So we're going to continue to aggressively pursue price increases to make sure that, we're treated fairly in the marketplace. And we really have never hesitated on that. That's been ongoing.
Sabahat Khan: Great. And then just one last quick one. On the sort of scanning and the calibration side as you continue to internalize that. Is that something that when we look ahead to the next one, two, three years is it something you build at a steady pace? Or could there come an inflection point where you maybe dedicate a larger proportion of your CapEx and just maybe OpEx to getting that internalization going? Thank you.
Tim O'Day: Yeah. I would say that we -- and while we didn't comment specifically this quarter last quarter we did comment on the significant growth in employee count we had in that business. And we continue to grow pretty rapidly. What we've been saying is it will take us two to three years to get to the point where we're servicing the vast majority of that business. And I would say that still holds true, although, we're interested in accelerating that to the extent that we can properly manage that growth. We make pretty good progress on that. Thanks.
Sabahat Khan: Appreciate the color.
Operator: And your next question comes from the line of Krista Friesen with CIBC. Please go ahead.
Tim O'Day: Good morning, Krista.
Krista Friesen: Hi. Thanks for taking my question. I was just wondering, how are you thinking about the technician development program at this point just in terms of maybe pulling back on it for cost savings, or maybe the labor environment isn't as tight? So, just how you're thinking about that through this year and next year?
Brian Kaner: Yes. Kristen, it's Brian. Look, we continue to be committed to the Technician Development Program. We have pulled back on the Level 1 portion of that program which is as you well know is where the predominant amount of cost is just based on the environment that we're in right now. But in the long run, we believe that that's still the right for us to develop the next generation of technicians in our business and remain very committed to -- as volume starts to come back, remain very committed to continuing to grow that program.
Krista Friesen: Okay. Great. And just the comment on pulling back kind of at the Level 1 part of it, did that start in Q3? Or did you kind of start to pull back a bit in Q2?
Brian Kaner: We pulled back a bit in Q2 as well. We're really focused on graduating the 2s and 3s that we have in the program right now. And right now, given the volume situation, it's much more -- it's better for us to keep feeding the tech that we have our body techs that we have in the shops today as opposed to spreading that out across more people.
Tim O'Day: I'd just add to that Krista that the -- we talked even throughout last year about the fact that we were dissatisfied with the level of turnover in the first level of the program, which is the most expensive level. So some of the fine-tuning we've done is really to be more selective. You'll recall that when we built this program up three years ago, we went from almost no one in it to several hundred people over a couple of years. And I think this pause has given us the ability to be more selective in who goes into level one, which will result in more Level 1 trainees getting to Level 2 and ultimately graduating that will lower overall program cost.
Krista Friesen: Okay. Great. That makes sense. And just one last one for me. On the acquisition front as you noted running at a bit of a slower pace this year. Should we think of this pace as kind of a good run rate for the rest of the year?
Tim O'Day: No, I wouldn't say that. I think that acquisitions have always been lumpy and it's hard to predict exactly when deals will get done. But I feel really good about our pipeline. And I would expect to see stronger activity in the last half of the year than we've seen in the first half of the year as we successfully close on deals. We also are -- and I mentioned this in my prepared comments, but we are building our pipeline of greenfield and brownfield facilities. And we feel really good about what that will do for us in the long run in terms of giving us the facilities and the capacity we need to service all aspects of our business and markets. So, we remain very committed to growth and still see great opportunity.
Krista Friesen: Okay. Perfect. Thanks. I’ll jump back in the queue.
Tim O'Day: Thank you.
Operator: Thank you. And your next question comes from the line of Steve Hansen with Raymond James. Please go ahead.
Steve Hansen: Yes. Good morning, guys. Thank you for your time. First question is just around the same-store sales growth. Can you -- at the risk of maybe being too granular, can you maybe just give us a sense for the cadence on how it performed throughout 2Q? Just trying to get a sense of whether it had sort of bottomed earlier in the period or intra period or where -- how things have basically trended through that period just to give us a bit of insight into the third quarter recognizing in the course that you're suggesting some of our levels?
Tim O'Day: Yes. I wouldn't say that we saw a trend that would be a clear down x, down y, down z that was favorable. I think the lower claims volume for the reasons that I commented on earlier were fairly stable through the quarter.
Steve Hansen: Okay. That's helpful. And then just if I'm jumping back over to the margin side, in the last quarter performance-based pricing was a bigger hit. You've recognized that there's less of an impact there but it sounds like, it's still part of a drag on margins? How should we think about sort of that specific element going forward on a margin basis?
Tim O'Day: Yes. I think that beginning in the third quarter of last year we had an uptick in performance-based pricing. So, there may have been a modest headwind in Q2 as a result of kind of lapping that change year-over-year. But overall, our performance with clients was excellent in the second quarter and that had a favorable impact for us.
Steve Hansen: Helpful. And just last one if I may. It's just around -- it strikes me that the performance across the continent is actually quite diverse or variable. And at the same time it sounds like the larger players yourselves included are taking share. I'm just trying to get a sense for whether or not you think that creates an opportunity to accelerate M&A as the pressure becomes more apparent on the smaller players? Or does that present too much of a risk in a pausing environment where you might be adding capacity that's not necessarily full and hard to fill? So just trying to weigh those two off to each other pressures build it should create opportunity.
Tim O'Day: It's a really good question. I think we need to continue on our planned level of growth to build our business and accomplish our goals but be sensitive to the fact that we have a challenging short-term environment. But we're not going to act in a short-term manner as it relates to growth because what we're facing today we remain committed to growing units and ultimately to drive an organic growth in whatever way we can. So I don't think it really changes our plan at all.
Steve Hansen: Okay. Appreciate that. Thank you.
Operator: And your next question comes from the line of Daryl Young with Stifel. Please go ahead.
Daryl Young: Hey, good morning.
Tim O'Day: Hi, Daryl.
Daryl Young: I just wanted to touch on margins and specifically I'm not sure if you can give this level of granularity, but what would the four-wall economics look like for the mature collision repair locations? And just trying to get a sense of how are they trending from a margin and profitability perspective relative to 2019? And I guess what I'm really getting at is just trying to strip out the impacts of a lot of these corporate level initiatives around greenfield ramp-ups and scanning and calibration and the Technician Development Program, but just sort of drilling down to the four-wall economics of those mature locations.
Jeff Murray: Yes, sure. I can take that one. It's Jeff here. Yes I would say certainly it's part of the answer is that the drag from the new locations is affecting. And if you take that out it does make a difference in terms of getting us back to where we were if you just look at the four-wall on the existing ones. But it wouldn't get us all the way there. I would say it might get us about halfway of the distance. So there's still some work to be done in terms of getting our leverage at the right level for the existing stores as well.
Daryl Young: Got it. Okay. And then in terms of Boyd's thinking around the ADAS headwinds I think in the past you said it's about 100 basis point impact annually of the ramp-up of the new technology. Is that something you expect to accelerate in the years ahead? Or is that sort of 100 basis point impact annually something you expect to be stable for the next few years?
Tim O'Day: Yes. The 100 basis points is really miles driven going up by about one point a year and ADAS for the next several years having likely around a two-point impact netting to that 100 basis points. And I don't see that accelerating in some ways the lack of new car sales may even slow a bit. But we do expect that as that unfolds the cost of repair because of those systems will more than offset the claim volume per mile driven.
Daryl Young: Got it. Okay. That’s helpful. Thanks, guys.
Tim O'Day: Thanks, Daryl.
Operator: Thank you. And your next question comes from the line of Tamy Chen with BMO Capital Markets. Please go ahead.
Tim O'Day: Good morning, Tamy.
Tamy Chen: Hi, guys. Good morning, Tim. Yes. So a couple of questions from my end. First is I'm just curious the volume you saw. So industry claim volume down about 7% in the quarter. I know your comp was down 3%, but that would have trace in there too. So I'm just wondering is it fair to say your volumes in Q2 was similar to the industry decline? Or was it not as bad?
Tim O'Day: No, I wouldn't say that. It's interesting that when you take the 7% reported repairable claims volume that is further eroded by claims that are made where people choose not to repair. So the 7% is the repairable claims filed not necessarily what was offered up to the collision industry for repair to the extent that people choose to defer or not repair at all. We also saw a pretty significant softening of average repair cost increase during the quarter. Some of that was likely market. Some of it was impacted by our own actions of increasing the use of cost-effective alternative parts, internalizing scanning and calibration services, which allows us to deliver it at a lower cost for our customers and an increase in our tendency to repair particularly as it relates to plastic repairs which we have a committed initiative that you can see in our ESG report to drive plastic repairs up. All of those drive cost down for our customer although they shift to labor operations or a higher margin alternative part so it's generally favorable for gross margin. So in the environment that we were in well I'm really disappointed with the same-store sales decline. I think our teams actually did a pretty good job of taking advantage of what was available in the market.
Tamy Chen: I see. Okay. So your -- the volume offered up for -- to the repair shops it sounds like it was lower than that. Okay. That's helpful to understand. And I remember just three or so months ago on your Q1 call I think at the time you said you weren't really seeing this consumer behavior dynamics that it was more so the mild winter weather. It sounds -- so are you saying at some point in the second quarter your network saw more of this consumer behavior come to fruition? And I noticed you're describing it as a deferral. So do you think that this part will come back and we'll have some catch-up when the macro part improved?
Tim O'Day: Yes. Well, there are two questions there. One is did the consumer behavior change starting Q2, and I would say, looking back now our assessment is that it started before that, but we couldn't attribute it to that. We didn't have any information that would allow us to attribute to it. So we believe the majority of it was weather-related, which I do think we still believe that the majority of the impact in Q1 and Q2 was weather-related. But this consumer behavior change is causing some disruption. As for deferred or not repaired, I would say, historically some portion of those claims will ultimately be repaired, but some will probably just not be repaired and there will be damaged vehicles. That will never be addressed by the collision repair market.
Tamy Chen: Got it. And last one for me is the Q3, so far so we should take that as -- it's not gotten worse sequentially? It's a similar pace of headwinds that you saw Q2.
Tim O'Day : That's what we've seen thus far yes.
Tamy Chen: Okay. Thank you.
Tim O'Day : Great. Thanks, Tamy.
Operator: And your next question comes from the line of Derek Lessard with TD Cowen. Please go ahead.
Derek Lessard : Yes. Good morning everybody. Good morning, Tim and Jeff. Congratulations Brain. I actually had a question regarding the management change and maybe if you could add some color to, I guess, the thinking behind that decision?
Tim O'Day : Sure. I think just as part of growing Brian's responsibility and impact on the organization. I as well as the board felt it was appropriate to expand his area of responsibility to allow him to exert the same influence over our broader business that he has over our U.S. collision business. And while you may not feel in some of our results, I can tell you that we've made some great strides in our collision business over the past couple of years that I'm pretty proud of. So, I think that that's really the primary reason for. And I'm looking forward to working with Brian in his new role to continue to drive the business.
Derek Lessard : Okay. And just maybe one last one for me. I'm just curious about how your backlog has trended so far? And how you feel about the size of your labor force compared to the backlog and volume.
Tim O'Day : Well, we -- it pains me to say it, but we have labor capacity that we're not fully utilizing now. And that's pretty unfamiliar territory with us. Having said that, when we analyze it, I would say, that the backlogs that we see in the business are pretty consistent with what we were experiencing prior to the pandemic. So this isn't a new territory for us. But we need our teams to focus on taking care of our customers making sure that we're delivering for our insurance clients and capturing opportunities that come available to us more aggressively than what we've had to -- as we've gone through the significant surge in demand. But this is a territory that we need to change our behavior to take advantage of it or to make the most of it. But we have good experience in this.
Derek Lessard : Thanks everybody and good luck.
Tim O'Day : Thanks, Derek.
Operator: And your next question comes from the line of Gary Ho with Desjardins. Please go ahead.
Tim O'Day : Hi, Gary.
Jeff Murray: Hi, Gary.
Gary Ho: Hey, good morning. So my first question just on going back to the same-store sales growth you still expect that to be down year-over-year in Q3 so far. Just wondering what environment do you think it will take you to move that back to the positive territory? Is it stabilization in the used car prices total loss rates or stabilization in kind of insurance premiums? Just wondering what variables we should be tracking to see that inflection point?
Tim O'Day : I'm not sure I have a great answer for you on that. I mean, certainly, as we begin to lap the consumer behavior change, you would expect that we would start to see more normal growth in the market. There is no question that the weather impact in Q4 and Q1 were pretty meaningful, and I wouldn't expect that to recur. Even in Q2, we experienced less cat volume like hail volume than we had in the prior year. So, there were a few different headwinds that are unusual. But I would expect as we lap the consumer behavior change, which looking back, I think, probably began in Q4 maybe it was most pronounced in Q1, that we'll start to see a return to more normal patterns.
Gary Ho: Okay. That's helpful. And then my next question just on the location add. I know year-to-date you've added 30 locations with five that are considered startups, which is lower than the mix for start-ups last two years. I'm guessing you have some better line of sight in terms of start-ups like this is more controllable on your side? So as you look out the next kind of 12 months should we see more of those looking out? Any color you can provide?
Tim O'Day : Yes. I think, you -- the next 12 months is a pretty short period of time. We have a number of them in our pipeline that will open up over the next 12 months. But we also have a very concerted effort to identify and build out more of those and I know we've commented on this in the past, but we expect greenfield development and brownfield to be a higher portion of our mix of growth in the future years than it has been historically.
Gary Ho: Got it. And then just maybe just last one high level, just given the softer same-store sales growth environment, has that impacted the M&A valuation at all, just whether that's single shop or MSOs by any chance? Just want to get an update on that front.
Tim O'Day: I would hope that it does, but I can't tell you that we've seen a material impact or a change in that. But I also think it takes time for sellers to adjust to a new market. But we'll certainly be disciplined in looking for opportunities to pay fair valuations given the market environment.
Gary Ho: Okay. Great. Those were my questions. Thank you.
Tim O'Day: Thanks, Gary.
Operator: And our next question comes from the line of Bret Jordan with Jefferies. Please go ahead.
Bret Jordan: Hey good morning guys.
Tim O'Day: Good morning, Bret.
Bret Jordan: On the -- I guess the consumer demand change. Do you see that a lot of the deductibles have been increased to offset the higher insurance premiums and maybe with a higher deductible we've just taken out the low-end repair? Or is it just...
Tim O'Day: I didn't get that data this quarter, Bret, but I did get it last quarter. And while there has been a bit of a creep up in the deductibles 500 moving to 1,000 or moving to 2,500. It didn't look that significant. So I actually don't think that that's a primary driver of it. I think it's more likely that people are either concerned about their jobs or concerned about the economy or concerned about filing a claim and having higher insurance premiums even more than what they've had to absorb over the past 18 months.
Bret Jordan: I guess on that same sort of trend then, do you see consumers coming in and getting an appraisal and then pocketing the check and not coming back for the repair.
Tim James O'Day: In talking with our teams in the stores, they are telling me that they're seeing more of that. They're also seeing more customers come in with repairs that are in excess of their deductibles and paying out of pocket to avoid having to file a claim. Those are probably on the edge, but...
Bret Jordan: Okay. And then I'll turn it to parts mix. You sort of called out things that were driving margin. What's the dollar spend in alternative parts in average repair now?
Tim O'Day: We don't disclose that. CCC provides the data on that.
Bret Jordan: Ballpark…
Tim James O'Day: Yes. We've seen a meaningful increase in our mix of aftermarket US over the past quarter -- year-over-year in the quarter. Some of that is driven by a large US insurer that shifted their policy toward aftermarket parts or the use of aftermarket parts. Some of it is just our teams are getting even better at identifying and using parts to keep repair costs down for our customers.
Bret Jordan: Great. Thank you.
Tim James O'Day: Thanks, Bret.
Operator: And your next question comes from the line of Zachary Evershed with National Bank Financial. Please go ahead.
Zachary Evershed: Good morning everyone. So as used vehicle prices come down, what do you think the worst case scenario is for spiking total loss rates? And how does that play out in Boyd's same-store sales growth and margins?
Tim O'Day: Well, the higher total loss rates are definitely part of the drop in repairable appraisals. It probably accounts for -- I think it was 1.6 points of the 7-point drop in repairable appraisals. And that's directly tied to the decline in used car values. So it certainly has an impact. It probably has an impact on our average cost of repair as well because some of those would have been higher value repairs. I would expect total loss rates if you look over a very long period of time they've kind of crept up gradually. We've gone through a cycle of a significant downturn in total loss rates as used car values ramped up and then ticking back up to pretty close to historical levels or pre-pandemic levels now maybe even slightly above. It's hard to predict, but I don't think total loss rates are going to move dramatically. And so I would expect it to continue to have a small gradual impact, but be offset by increase in miles driven and increase in claim cost.
Zachary Evershed: That's good color. Thanks/ And then what's the impact on the network of Hurricane Debby thus far?
Tim O'Day: We haven't fully assessed it. I can tell you that there -- it wasn't as impactful from a flood standpoint I'm told is what many hurricanes are. There was probably more wind damage which is it's probably better for us. Flood damage doesn't generate much work for the close pair industry, but wind damage and trees and debris can impact it. So, yes, I would expect that we'll have some favorable impact in the markets that it came through.
Zachary Evershed: And then last one for me on Brian's expanded responsibilities. Tim, do you feel that frees up bandwidth for you to address other issues?
Tim O'Day: Yes I think it does. It will free up some time for me to focus on kind of our long-term strategic direction. One thing that I plan to spend a lot of time on is our one company strategy, which is really important to us. And I also think that the way we're organizing ourselves we're getting the right leadership in place to drive some things that will be very good for our business. We see synergy opportunities both with our auto glass business and our calibration business. And those are key areas that – as you know, we've spent a lot of time talking about over the past couple of years. We've made great progress and I think we have more room to make progress in those areas. And there's follow us to do that.
Zachary Evershed: That’s great. Thanks. I’ll turn it over.
Tim O'Day: Thanks, Zach.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to Mr. Tim O'Day for closing remarks.
Tim O'Day: All right. Thank you everybody for joining us on today's call. I appreciate your questions and your investment in Boyd and I look forward to giving you an update when we report Q3 in November. Have a great day.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.